Operator: [Call Starts Abruptly] fourth quarter and full year results conference call and webcast. We would like to remind you that today's call is being recorded. [Operator Instructions] At this time, I'd like to hand the call over to Federico Donati, Head of Investor Relations. Please go ahead.
Federico Donati: Thank you, Sergey. Good morning, everyone. We would like to welcome you to the webcast and conference call for Iveco Group's fourth quarter and December year-to-date financial results for the period ending 31st December 2023. This call is being broadcast live on our website and is copyrighted by Iveco Group. Any other use, recording, or transmission of any portion of this broadcast without express written consent of Iveco Group is strictly forbidden. Hosting today's call are Iveco Group CEO, Gerrit Marx and our new CFO, Anna Tanganelli, who joined Iveco Group on 1 December 2023. Gerrit and Anna will use the material made available for download on the Iveco Group website earlier this morning. Additionally, please note that any forward-looking statement we might be making during today's call are subject to the risks and uncertainties mentioned in the safe harbor statement, including the presentation material. Additional information pertaining to factors that could cause actual results to differ materially is contained in the company's most recent annual report, as well as other recent reports and filings with the authorities in the Netherlands and Italy. The company presentation may include certain non-EU IFRS financial measures. Additional information, including reconciliation for the most directly comparable EU-IFRS financial measures, is included in the presentation material. I will now turn the call over to our CEO, Gerrit.
Gerrit Marx: Thanks, Federico, and welcome to all of you joining our call today. Our transformational second year as an independently listed group ended with consistent profitability improvements across segments, leading to an adjusted EBIT margin for the industrial activities at 5.2%, which is 2.2 percentage points above 2022 and already above the lower end of the guidance we targeted for the year 2026 at our first Investor Day in November 2021. On the back of this solid performance throughout challenging periods, Anna, myself, and members of our senior leadership team are looking forward to our Capital Markets Day in Turin on 14th of March, when we will present our revised ambitions for the period 2024 to 2028, with our former reporting segment Commercial and Specialty Vehicles split by its comprising business units. For our fire fighting vehicle business unit, Magirus, we are making good progress with a shortlisted group of suitable equity partners. When we have reached a conclusion and entered into definite agreements involving all relevant stakeholders, of course, we will make the mandatory disclosures as appropriate and required. In 2023 and in particular, during its fourth quarter, we did not experience any unusual increase in order cancellations, no material net price erosion. We opened the order intake for our new model year 2024 in all truck segments, while continuing to cautiously shorten our order books in a normalizing market environment, particularly for heavy-duty trucks. Order backlog in trucks remained rather high, with around 21 weeks of production already sold for light commercial vehicles and around 18 weeks for medium and heavy at the end of January 2024. Delinquencies on book for less than 30 days were down at a historically low 2%, which is sequentially 30 bps lower and 40 bps better than last year. The supply chain situation is still not perfect, and it probably will never be, but it is much more predictable when compared to the first half of 2023. Potential indirect negative impact from the Ukraine and Palestinian conflicts need to be constantly and carefully monitored, as well as the recent Suez and Panama Channel situations. Although at the moment, none of the above has caused any material slowdowns or disruptions in the supply chain. As anticipated in our previous earnings call, we and several other OEMs are working to solve some body builder capacity bottlenecks that are slowing down the timing of deliveries to customers, and as a consequence, also invoicing activities and retail and wholesale levels. Our efforts will continue during the first quarter of this year, as already anticipated, and we expect the situation to level out from the second quarter onwards. Yearly free cash flow generation was at €412 million, with investments up 25% year-over-year. Compared to last year, if normalized by the positive one-offs registered in 2022, and as evidenced in the materials we provided to you, this figure represents an almost flattish free cash flow performance, which is also the target for 2024, despite continued high investments into our products and services. Our net industrial cash position, if adjusted by the extraordinary Argentine peso devaluation that occurred in December, was at €2 billion, or even slightly above at year-end 2023. However, we closed 2023 at €1.9 billion of net industrial cash counting in this extraordinary foreign exchange devaluation. Anna will provide more details later in the presentation, also highlighting the delta performance on a year-over-year basis. Looking at the Iveco Group consolidated financial performance. For the full year 2023, our consolidated revenues were up almost 13%, and the consolidated adjusted EBIT margin was at 5.8%, up 210 bps versus full year 2022. Our adjusted diluted EPS was at €1.23 at the end of the year, which is €0.45 more than full year 2022. Our share buyback program continued, as you probably saw from our periodic updates. During the full year 2023, about 6.8 million of Iveco Group's common shares were bought back for a total net consideration of about €55 million. A large portion of these shares are being deployed to our long-term management incentive program, aligning incentives with long-term shareholder value creation. Lastly, according to our dividend policy, the Board of Directors intends to recommend to the upcoming Annual General Meeting, an annual cash dividend of €0.22 per common share, totaling approximately €59 million of dividends to be distributed to shareholders. The proposed dividend remains subject to formal board approval and the approval of shareholders at the AGM, which will take place on the 17th of April 2024. If shareholders approve the annual dividend at the AGM, it is anticipated that the record date for the dividend will be the 23rd of April, with an ex-dividend date on the 22nd of April and payment date on the 24th of April. The Board of Directors intends to submit to the --[Technical Difficulty]
Federico Donati: Wait a second. Sorry. Can you hear us? Is the line connected? Are you sure? Okay.
Gerrit Marx: Okay, good. So I'm on Page 4 now, on which we have highlighted, as usual, our main achievements of the last quarter and the past year. All of these items are related to press releases, which are already public, so I will not go through them in detail. In October, Iveco Capital has announced a partnership with Eurowag. This will add integrated payment solutions to the brand service offering for commercial industrial vehicles. In November, the European Investment Bank agreed to finance Iveco Group for up to €500 million for the decarbonization of the transport sector. In Brazil, we won the supply of 7,100 new school buses in a contract worth about €580 million. And we received several recognitions for our sustainable practices. We joined the United Nations Global Compact and were included on both the Dow Jones Sustainability Indices, World and Europe and the EcoVadis Sustainability Rating, all with very good first takes. Moving on to Slide 5. We give a snapshot of the main product launches that occurred during the full year 2023. In January, FPT Industrial made the first debut of the new Cursor 13 hydrogen combustion engine together with Prinoth on the world's first hydrogen-powered snow groomer. FPT also collaborated with Maserati on the creation of the new Maserati Gran Turismo Folgore, the first car in the brand's history to adopt a 100% electric powertrain. In July, GATE, our Green & Advanced Transport Ecosystem, debuted its pilot program in Italy for the pay-per-use long-term rental of green commercial vehicles. Busworld was held in October, and we unveiled our new IVECO Bus E-Way hydrogen-powered city bus developed in partnership with Hyundai Motor Company. Also in October, IDV signed a contract to supply more than 670 second-generation VTLM Lince 2 vehicles to Italy. And finally, Iveco presented its fully renewed model year 2024 range, concluding a €1 billion investment cycle, the first time in the brand's history that every single product line was renewed at the same time. This was also when FPT Industrial introduced the all-new 13-liter Cursor multi-fuel engine delivering up to 10% fuel efficiency in diesel and gas over its predecessor engine platform. All these launches will for sure keep us busy and focused throughout 2024.The next Slide number 6 deals with the announcement by Hyundai Motor Company and Iveco Group of the supply agreement of the new IVECO-badged electric light-cab chassis commercial vehicle for Europe. This brand-new vehicle extends our light commercial vehicle range for good transport to a lighter category, below 3.5 tons of gross vehicle weight, enabling us to enter new key markets living up to the versatility of our Iveco daily family. The vehicle will be built on a completely electric platform just developed by Hyundai and will be customized and distributed in Europe, as commercial vehicles through our Iveco network of dealers. We will launch it in September at the IAA Transportation Fair in Hannover, along with its own family -- vehicle family name. For those of you joining us at the Capital Markets Day in Turin on March 14, you will experience firsthand this new vehicle, which has been on our partnership roadmap with Hyundai since we kicked things off with them in March 2022.Moving on to Slide 7, we show the total industry volume percentage change versus full year 2022. As you can see, Europe, excluding the U.K. and Ireland, was up double-digits in the truck segment, with light-duty trucks ending the year up 13%, while medium and heavy were up 16%. For buses, the industry in Europe was up 20% versus the previous year. Latin American industry volumes were double-digit down in both truck segments and up 25% in buses. On a worldwide basis, the market was positive double-digit across all segments. The next Slide, number 8, has our recurring quarterly update on channel inventory statistics. Company inventories were sequentially down, both in light-duty trucks and medium and heavy, down 38% and 27% respectively, reflecting our normal seasonality, which sees high inventory deployment in the fourth quarter. Looking at dealer inventory as anticipated in my opening remarks, we expect the body builder bottlenecks to level out by the end of the first quarter this year, allowing us to finally deliver the products currently held up in body builder activity for end customers. As you can see from the takeaway message at the bottom of the slide, the percentage of dealer and company inventories already sold to customers across all segments has remained solid at more than 75% of the actual dealer inventory and 70% of company inventory. Finally, looking at production activity versus retail, we underproduced retail sales of both light-duty trucks and medium and heavy by 11% and 17% respectively, responding to our still long order books and preparations for cutting over from model year 2022 to model year 2024. We are aligning our production pace with market expectations for 2024 and for a strong start of our entire model year range 2024 lineup. Let's move on to the next slide, with order intake and delivery statistics as of the end of the fourth quarter. We entered 2024 with a rather large and strong order book in trucks, covering almost the entire first half of the year, and we have received very good feedback from customers about our model year 2024 range, for which orders will gain momentum in the first and second quarters in 2024, as we proceed with the rollout of customer engagements. The eDaily production line is fully covered for the first half of 2024, similar to all other product lines. We closed the eDaily model year 2022 order book as we will be opening in the next couple of weeks the order book for its successor model year 2024, with comprehensive product and regulatory upgrades. In our bus business, the order book is at 1.1x the net sales, with 40% of the portfolio made up of 0 emission vehicles. The number we show here on Page 9 is calculated on units and around 1.In our defense division, which is not shown here, the order book collected by year end had exceeded 4x its 2023 net sales, demonstrating an impressive ramp up in orders for this segment. With more than €4 billion of orders collected and a continued high order momentum in 2024, we do recognize the relevance of this business unit, which goes far beyond its role in our group. We will share more details on IDV during our Capital Markets Day, of course. Looking at full year 2023, deliveries were up 1% on a worldwide basis versus full year 2022, with light commercial vehicles down 1% and medium and heavy trucks up 2%. Buses were up 7% versus last year. Europe was up 8% with light-duty trucks and 2% at medium and heavy up 19% versus full year 2022. Bus deliveries in Europe were up 24%. When looking at order intake level for trucks, it was down by design versus last year, mainly on the back of our continuous effort to purposely lower weeks of production already sold through a tight pricing discipline. This was to preserve profitability on the back of a very solid and historically high order backlog and to accommodate the phase-out and phase-in of model year 2024. As a result of this effort, worldwide total book-to-bill truck and bus was at 0.76 at the end of the year. The next slide shows our market share performance in Europe, excluding the U.K. and Ireland, in our light-duty truck segment and medium and heavy. Starting with the light-duty, we ended the fourth quarter solidly at 14% market share in the 3.5 to 7.49 ton segment. We maintained our market share leadership in the cab-chassis subsegment, ending the quarter at 29.6%, and solidified our historical leadership in the upper end of the light-duty 6 to 7.49 ton segment with a market share of almost 64%. In heavy-duty, we ended the fourth quarter with a flat market share versus the fourth quarter 2022 at 8.7%. And in medium and heavy combined, market share was up 40 bps to 9.7% versus the same period last year. In heavy gas, we ended the quarter at 45.2% of market share, maintaining our historical leadership in this subsegment, where we do see an interesting future in light of the role of renewable fuels will play in the decarbonization of transport in the second half of this decade. I will now hand the call over to Anna, who will take you through our full-year financial highlights, after which I will conclude with final remarks.
Anna Tanganelli: Thank you, Gerrit. First of all, good morning, everyone. It's a pleasure to virtually meet all of you today, and I'm really looking forward to properly and physically introducing ourselves and getting to know each other in the coming weeks and months. Going back to the presentation, let's now take a look at the highlights of our 2023 full-year financial results on Slide 12. We close the year with consolidated net revenues of €16.2 billion, up almost 13% versus the prior year. Financial services net revenues total €494 million, up €213 million compared to 2022, while net revenues from industrial activities reached €15.9 billion, up 12.1% versus the previous year, supported by solid price realization, positive volume for trucks and bus in Europe and favorable mix. Consolidated adjusted EBIT was up €413 million, or plus 78% versus the prior year, closing at €940 million with an adjusted EBIT margin of 5.8%, up 210 basis points versus 2022. The adjusted EBIT from industrial activities reached €818 million, posting a €394 million year-over-year increase, underpinned by the already mentioned continuously strong price realization, positive volumes in trucks and bus in Europe, and favorable mix throughout the year. As a result, the adjusted EBIT margin from industrial activities closed at 5.2%, up 220 basis points versus the previous year. Consolidated adjusted net income for the period was €352 million, €127 million higher than the prior year, despite a severe year-over-year increase in financial charges as a result of higher interest rates, but above all, the adverse impact of the Argentine peso devaluation over the period, including the related hyperinflation accounting. For further clarity, more than 50% of the total full-year financial charges amount, i.e., around €250 million, refer to Argentina and mainly include the impact of; one, the more than 100% devaluation of the local currency occurred in December 2023; two, hyperinflationary accounting; and three, the cost of hedging. On a positive note, our full-year 2023 adjusted effective tax rate closed at 28% compared to 30% of last year, and it reflects the different tax rates applied in the jurisdiction in which Iveco Group operates, as well as some other discrete items. As a result of all the above, the adjusted diluted EPS was €1.23, up €0.45 compared to full-year 2022. As usual, in this slide, we report the adjusted net income attributable to Iveco Group, which closed at €336 million, and excludes the profit attributable to non-controlling interest. Now moving to our cash results, in 2023 we generated €412 million of positive free cash flow from industrial activities, primarily thanks to the strong performance of all our businesses, as commented earlier, and despite the severe macroeconomic and geopolitical headwinds faced throughout the period. Please note that when comparing our 2023 free cash flow number to the prior year, it needs to be highlighted that the 2022 result was positively impacted by two one-off cash items, totaling around €160 million, including an exceptional fleet depletion that started in August 2022 and the sale of a plant in Australia. While the 2023 free cash flow figure incorporates the impact of the acquisition of the Uncrewed Ground Vehicle startup MIRA and the full consolidation of EVCO, the former Nikola Iveco Europe JV.As a result, our net industrial cash position reached €1.9 billion at the end of December 2023, which when adjusted for the sudden extraordinary Argentine peso devaluation that occurred just in the last few weeks of the year, more than exceeded the €2 billion amount. Finally, available liquidity, including undrawn committed credit lines, remained solid at €4.7 billion at the end of December 2023.Moving to Slide 13, let's now focus on industrial net revenues. Looking at the revenue split by region, as you can see from the chart on the top left-hand side of the slide, all regions posted a positive, robust year-over-year growth, except for South America in line with industry trends. As for the segment breakdown, all our businesses' revenues were up versus the previous year, with specialty vehicles and buses increasing by more than 20% year-over-year. As shown by the walk on the right-hand side of the slide, the main contributors to the net revenues performance over the period were, as said, a solid price realization, positive volumes for trucks and buses in Europe and a favorable mix, only partially offset by an adverse foreign exchange rate evolution. Turning to Slide 14, let's now briefly comment on the main drivers underlying the remarkable year-over-year performance of our adjusted EBIT from industrial activities. As previously highlighted, repositioning of net pricing in trucks was the major catalyst for the profitability uplift in 2023, with positive contribution also from favorable volumes in Europe and a positive product mix, all of which, more than offset, one, the higher production costs in the year due to still not stabilized raw materials, mainly plastics, semiconductors and battery materials as well as energy prices; two, increased R&D spending linked to the launch of our new model year 2024, and the EVCO, i.e., the Ex-Nicola JV consolidation; three, soaring inflation; and four, an adverse foreign exchange rate scenario. As a result, the adjusted EBIT margin from industrial activities closed at 5.2%, up 220 bps versus the same period of last year, thereby reaching 3 years ahead of the plan, the lower end of the range previously estimated for 2026, and as communicated in our pre-spinoff Investor Day in November 2021.Looking at the 2023 profitability performance of each segment, the commercial and specialty vehicles adjusted EBIT was €773 million, up 86%, or €358 million higher compared to full year 2022, with a 5.6% margin, up 220 bps versus the prior year. Powertrain posted a €252 million adjusted EBIT, resulting in a €65 million increase compared to 2022, and a 5.9% margin, up 120 basis points versus the same period of last year, which is perfectly in line with our already disclosed ambition to improve marginality for this segment by 100 basis points every year. Let’s now briefly comment on the performance of our financial services business during the year on Slide 15. The full year 2023 adjusted EBIT reached €122 million, up €90 million versus the prior year, supported by an increased portfolio and a better receivable collection performance compared to 2022. The Iveco Group managed portfolio, including unconsolidated joint ventures was €8.3 billion at the end of the year, of which retail accounted for 36% and wholesale for 64%, up €1.5 billion compared to December 31, 2022.Worthwhile to highlight here is that the stock of receivables passed due by more than 30 days as a percentage of the overall on-book portfolio reached a historical low of 2%, versus 2.4% as of December 31, 2022. Finally, a return on assets, as shown in the chart on the top right-hand side of the slide, remained well above 2%, also in the last quarter of 2023.Moving now to our free cash flow and net industrial cash evolution on slide 16. As said in the previous slide, in 2023 we generated €412 million of positive free cash flow from industrial activities, primarily thanks to the strong performance of all our businesses and despite the severe macroeconomic and geopolitical headwinds faced throughout the period. In particular, the adjusted EBITDA from industrial activities contributed for €1.6 billion, up €445 million compared to last year, on the back of improved profitability across all segments. Cash out for interest and taxes accounted for €226 million in the period, which is €76 million more than 2022, mainly driven by higher interest rates in line with the overall financial market dynamic. And please note that this figure includes only interest, income and expenses within the total financial charges amount. Our continuously optimized working capital management generated €353 million of cash contribution in the year. The €152 million decrease versus 2022 was mainly driven by lower trade payables in the fourth quarter, linked to a by-design slowdown in truck production to accommodate the phase-out, phase-in of our model year 2024, only partially offset by an optimized management of inventories. Change in provisions and others impacted negatively for €388 million, €228 million more compared to last year. This number includes the negative impact on the financial charges line item, as said, of the Argentine peso devaluation and of the hyperinflation accounting in the country. The financial charges line item is of high priority inside our group, and we are relentlessly working to identify opportunities to minimize this amount and volatility and accelerated volatility while still maintaining a prudent approach to the Argentine macroeconomic scenario. Total investments in the year were €967 million, up €192 million, or plus 25% versus last year. Finally, the negative year-over-year performance of foreign exchange and other line item is mainly driven by the negative translation impact following the Argentine peso devaluation against the euro on our cash balance as well as by the purchase of €41 million of U.S.-linked bonds in Argentina as part of our hedging strategy in the country. As a result, once adjusted for these two extraordinary and unforeseeable items, our net industrial cash position at year-end reached more than €2 billion. As usual, on the bottom right-hand side of the slide, you can find our quarterly free cash flow performance. And finally, as said, please note that when comparing the 2023 free cash flow number to the prior year, it needs to be highlighted that the 2022 result was positively impacted by one-off cash items totaling around €160 million. Moving now to my last slide for today, Page 17. Our available liquidity as of December 31, 2023, stood at €4.7 billion. This includes €2.7 billion in cash and cash equivalents and €2 billion of undrawn committed facilities. Looking at our debt maturity profile, it is immediately visible from the chart that our cash and cash equivalent levels continue to more than cover all the cash maturities foreseen for the coming years, and totaling €1.7 billion. Thank you. And I will now turn the call back to Gerrit for his final remarks.
Gerrit Marx: Thank you, Anna. Let's conclude with the industry and financial outlook, as well as some final takeaway messages. Our preliminary industry volume outlook for 2024 reflects our current visibility and is broadly in line with what was already disclosed by some of our peers who released their financials before us. On a worldwide basis, both light-duty trucks and buses are forecast at flat year-over-year, and heavy-duty trucks are expected to be down at between 15% to 20%. Europe, excluding the U.K. and Ireland, is expected to be flat to slightly up in both light-duty trucks and buses, and heavy-duty trucks are expected to be down at between 20% to 15%. I might add here that these are unit volumes and not revenues, where we do see obviously a positive momentum from higher-priced electric vehicles being delivered, just like I alluded to when talking about the book to build for our buses. The next Slide, number 20, has our full year 2024 preliminary financial guidance. We expect our diversified set of businesses to counterbalance the challenging industry environment forecast for 2024, allowing us to maintain the level of industrial activities adjusted EBIT margin delivered in full year 2023.As you have already seen in our press release this morning, we have discontinued providing guidance on net industrial cash, choosing instead to provide the level of industrial free cash flow generation. This is to be even clearer about our commitment to generate cash every single year and to help the financial markets to forecast it more easily, also considering our seasonality. Based on the current industry outlook, solid order books and no signs of unusual levels of order cancellations, the company is expecting at a consolidated level group-adjusted EBIT at between €900 million to €950 million. For industrial activities, net revenues, including currency effects, to be down around 5%, adjusted EBIT from industrial activities at between €770 million and €820 million, industrial free cash flow at between €350 million and €400 million, and investments in property, plants, and equipment, and capitalized intangible assets at around €1 billion. In conclusion, as usual, let me summarize the messages we gave today in our presentation, providing some takeaway messages. I mean, first, our full year 2024 preliminary financial guidance is based on the current industry outlook, evolving order backlogs and no signs of unusual levels of order cancellations. We are expecting positive net price contribution, although at a lower level if compared to full year 2023, and a lower production cost. Our guidance on industrial activities free cash flow mindfully includes a certain level of prudence, particularly when looking at still unpredictable dynamics in the hyperinflationary countries, predominantly Argentina. Second, embedded in our guidance, there is profitability improvement for our powertrain, bus, and defense business units, and our truck segment, which will leverage on model year 2024 to support performance of the light commercial vehicles and to mitigate the negative impact of the European market slowdown in heavy-duty trucks. Third, we will continue our efforts to manage our order books and preserve profitability, as well as further reinforce our control over cash. We expect bodybuilder bottlenecks to level out by the end of the first quarter, depleting the related inventory. Our model year 2024 across truck segments is receiving very good feedback from customers, and we expect orders to gain momentum in the first and second quarters of 2024.In our bus business unit, the order book is at 1.1x net sales. And as I referred to in my opening remarks, 40% of this is 0 emission vehicles, demonstrating the great success that our battery buses are having in the market. The defense order book has exceeded four times net sales of €4 billion, with a diversified geographical exposure across Europe and outside Europe. Fourth, our commitment to maintain a sound level of available liquidity is continuing and intact, as is our firm objective to maintain positive cash generation every year, including a sound level of investments. Fifth, we are continuing our transformation path. And in this regard, last week, we announced the supply agreement with Hyundai for the distribution in Europe of the IVECO-batched electric light commercial vehicle. This goes exactly in this direction, permitting us to enter with a very competitive product in a segment in which we have not been present historically. We are continuously working to explore new potential partnerships, particularly through GATE platform or our EVCO plant, now 100% owned by Iveco. The process for portfolio optimization is proceeding apace, and we will be able to communicate updates about Magirus in the upcoming months. And sixth, as already anticipated during our third quarter analyst call, we will host our Capital Markets Day on the 14 of March here in Turin at our industrial village close to our headquarters. During this event, you will receive segment-dedicated insights and ambitions for our truck, bus, defense business units for the first time, as well as updated financial targets for the upcoming years. That concludes our prepared remarks, and we can now open it up for questions. To be mindful of time, we kindly ask you to hold off on any detailed modeling and accounting questions, on which you can follow up directly with Federico and the Investor Relations team after the call. Operator, please go ahead.
Operator: We will take our first question from Jose Asumendi with JPMorgan.
Jose Asumendi: Progress in the profitability. A couple of questions, please. Can you give us a bit more color within the split of profitability within heavy, medium, light portfolio in 2023? And which actions or carryover pricing should be expected in 2024 versus 2023? And second question, on powertrain margin, can you elaborate a little bit more how should we think about the margin expansion in '24 versus '23?
Gerrit Marx: I think, look, the split of light, medium, heavy, I think we have commented on that during the last couple of quarters a little bit. The light commercial vehicle continues to be pretty strong at around, let's say, double-digit, 10-ish percent or so. Yes, slightly north. It depends on the seasonality. We have the last couple of quarters were above. The medium-duty is high single-digit EBIT, positive, and on the heavy, we continue to see a nice development in the positive territory of margins. So that is quite encouraging for us. And obviously, positive momentum from the order book is expected in the first half of this year, particularly in the first quarter, obviously, given the reach of the order books. Well, powertrain margins, you have heard me say always that we want to see 100 basis points margin expansion in powertrain year-after-year. And we're certainly aiming at continuing this commitment to also continue 100 basis points of margin expansion in powertrain as we enter into 2024.
Operator: And we will now take our next question from Daniela Costa with Goldman Sachs.
Daniela Costa: Two questions for me. Just wondering if you can comment a little bit more on the light commercial vehicle outlook. Obviously, you're guiding for flat, but book-to-bill is slightly below 1. Can you talk us through sort of the puts and takes on the guidance there and how you plan to stage production through the year? And then my second question just on the CapEx, the €1 billion, I believe, if I'm correct, that right at the listing, it was €800 million. Can you tell us through sort of what are the drivers behind the increase and the key things that you're investing on there?
Gerrit Marx: Daniela, so, I think let me take the light commercial vehicle question and I will take the CapEx. So look, the light commercial vehicle continues to see good solid order intake on the price levels realized throughout, in particular, by the end of last year. So there's no slowdown, as we can see it, into a still pretty large order book. What we have done in the fourth quarter purposefully, as Anna said, is we have slowed down production in order to manage inventory and to also adjust in heavy duty for a softer market. In the light segment, we do see a continued strong momentum for our products and demand. So I'm fairly okay with what we have here on the slide.
Anna Tanganelli: Yes. On CapEx very briefly, so versus the number you have in mind. So we reached now a €1 billion investment spending and it will probably also continue in the coming years. And mainly, let's say, the increase in investment, so both tangible and R&D spending, is linked to the energy transition trend, so to the electrification of our lineup and including, obviously, the consolidation also of EVCO, so the Nikola Iveco European JV, as we said.
Operator: And we'll now take our next question from Martino De Ambroggi with Equita.
Martino De Ambroggi: The first question is on the new models. I understand we will discover the success in terms of orders, but could you elaborate on what is or how much of the price gap you are able to recover now that you launched the product on the market, just a rough indication as an average for the different countries? And the second is still on prices because you are assuming a positive price effect of lower in 2023 than for '24. Could you elaborate on it, just to understand the main drivers? I don't know if the new models are already having an impact in the second half of the year. You mentioned BEV vehicles have a positive impact in 2024, just to understand the main drivers for this? And the last one is on Hyundai. I presume in 2024 the potential, the impact of the benefits for the agreements already achieved is minimal, if any. But is it possible to imagine what could be the potential impact of all what you agreed so far? And I know I already asked it in the past, but common purchasing is still on the table under discussion as a potential benefit, because my idea is that so far all what you agreed doesn't have a big impact on your future figures, but maybe I'm wrong?
Gerrit Marx: I hope you're wrong. Hope is not a strategy, sorry. I take that comment off the table. So no, yes, I mean obviously we are building the impact together with Hyundai. And this is a partnership predominantly centered around products and joint technologies with what obviously also joint sourcing activities go along. On the current families of products, joint sourcing has a limited impact given simply the nature of what there is in production in Korea and what we have in our plants. But there is a growing impact from this partnership, and I'm pretty proud of this most recent light commercial vehicle that we have announced and that will enter the market, and that will actually -- we start to sell at the -- and deliver in the fourth quarter of 2024. Regarding your question about new models and price gap, I mean probably your question was predominantly focused on the heavy-duty truck, I would assume. There we have -- and I've participated in several customer events where we brought key customers, dealers, fleet customers, also those not having a Iveco at this point, particularly those to Madrid and we gave them a full briefing on the new product range and the feedback was really, really good. The vehicle is now absolutely aligned with the very best in the industry in the driver centricity elements, but now also from a total cost of ownership point of view with the new Cursor XC-13 engine doing a 10% -- up to 10% fuel efficiency advantage over its predecessor. And with this vehicle in the fleet, we are playing again among the very first of our segment. This does translate into pricing, obviously, because TCO means more profit for the operators and hence a better lever. But these are early days. That means we are in the process of getting the vehicles into fleets and with that, the proof is out there, and with the proof that comes, we will see orders to grow accordingly. So that takes time, but we are pretty confident that we're going to deliver on that journey, which is a long distance run, yes?. So this is not something that happens from one quarter to another. This builds over time and that's a track we are on since quite a while. So quite okay. And on pricing, Anna?
Anna Tanganelli: Yes. So your answer to your question. So we expect a positive price trend in 2024 versus 2023 across all businesses. Let's say throughout the year, so both in H1 and H2 for different reasons. H1, mostly obviously in the back of 2023 and H2 as the impact of the new model year starts becoming significant. Obviously, the main contributors will be tracked, but we expect a good price realization also on the other business units, mainly bus and defense on the back of finally solid pricing of the new orders coming in in the year.
Operator: We'll take our next question from Monica Bosio with Intesa Sanpaolo.
Monica Bosio: Yes. Follow-up on the heavy-duty track. Sorry, I didn't catch what was the profitability for the heavy-duty on the full year 2023. And if you can give us some further highlights on 2024? I understand that the new model year will give you room for a good pricing, but I also understood during the last call that the new model year, the impact will be more backend loaded. So I was wondering if you can just give us a rough indication of what we can expect in terms of profitability for the heavy-duty tracks in 2024?And the second question is on Hyundai with the new agreement, you're entering into a new segment below the 3.5 tons. And I was wondering if you can give us some flavor on the competitive environment? And where do you think the group can leverage in terms of competitive advantage in this new segment?
Gerrit Marx: Yes, Monica. So look, on this new segment, we are pretty excited. I mean, that's why I stress the concept of cab-chassis. When you look at European roads, you see in the segment, which is around 2.5 tons to 3 tons of 2 tons to 3 tons, you see a lot of passenger car-derived vans. And on purpose, we do not target to go into the van segment where basically every name plays. And therefore, we are not looking at the mass part of the market. We are looking at the profitable niches of that market, the same way we play with the daily. Because the daily has obviously also panel vans and good transport solutions in this segment. But the sweet spot for the Iveco daily between 3.5 tons and 7.5 tons is to play very strong in the niches built off on cab-chassis structures. So that's why we're so excited to get this vehicle in. And there's a strong partnership, obviously, here emerging also with body builders, with sophisticated superstructures who allow us to compete in those segments with very specialized solutions. And by the way, just to highlight this once again, this electric light commercial vehicle will only come electric. Again, so there is no combustion whatsoever. It's just we give it -- we will deliver it with two types of battery load for two types of ranges and power take-off. More details will come. But that is entirely electric and it is extending the daily DNA towards the lower segment. So below the daily. So that's on the segment side. And look, on the heavy-duty side, we have finished the year on a positive note. So we have stayed in the positive territory for the heavy-duty truck, which is first time ever that we actually had that outcome on the trajectory. In the fourth quarter, as I already mentioned, we had shut down our factory in order to manage channel inventory into our own -- in the inbound industrial inventory, obviously, but also channel inventory, company and dealer inventory, more thoughtfully preparing for a weaker 2024 market, okay? So therefore, the Q4 marginality of the heavy has been below the 3% that we had at this point. And for the full year, we will provide commentary as well when we see each other at the Capital Markets Day for the segment, if that's okay for you, Monica.
Monica Bosio: If I may just follow up, I know that we can't ask modeling questions, but any indication on the financial charges on the back of the currency, Argentinian currencies for 2024 would be helpful?
Anna Tanganelli: Yes. So let's say that right now in this very moment, we remain prudent on the evolution of Argentina. As you probably very well know, the market and analysts in the country expect a potential further devaluation of the Argentine peso coming along in the next month. So we are monitoring the situation quite closely. That's why we have been prudent throughout the guidance, not just of Argentina, but Argentina specifically, given its volatility. So we expect a reduction in financial charges year-over-year, but that really depends. And I think it's difficult to predict right now how Argentina may evolve. Having said that, on the other -- let's say on all the other elements of financial charges, we definitely foresee an improvement.
Operator: We will now take our next question from Miguel Borrega with BNP Paribas.
Miguel Borrega: So the first one, just thinking about 2024, you expect the market for light vehicles to be at least flat, medium and heavy down, low to mid-teens globally. But I presume you'll want to win share here, so probably you're going to decline less than the market. And then buses, flat. So that takes total volumes to low single-digits down. I presume the new model year will come with a higher price. So how can you explain, how do you come up with revenues down 5%?
Gerrit Marx: Look, the expectations you said are correct. We do expect us to take share also on the heavy-duty truck side particularly. By the way, I think the medium-duty market will not be 15%, 20% down. We need to see it. But the higher end of it is down as the heavy is. But the lower end of the medium should follow the light because this is more or less the distribution segment and the -- yes, simply an extension of the light, I would say. So therefore, this is where we are. We are carrying over a good price portion from the order book from 2023 into 2024 with the order length that we have commented on. On the pricing activities, there you need to distinguish 2 things. One is the launch of the new models that come with a net price increase, obviously, for the new models, functions, et cetera. So that -- you're correct, that drives topline, while the phasing out older models, the prior models, the 2022s, are on a flat to even partially down pricing because they phase-in and phase-out. That's the natural nature of the game, is that those 2, when they intersect and cut over, there is on the outgoing models a discount. While on that segment in particular in heavy-duty, we'd also see certain relative price pressure in some of the markets at this point. So it is certainly a positive impact on pricing the new models. But as also Monica said, this is going to kick in at material volumes rather in the second half of the year. And the other effect that sits on the topline is clearly FX, so foreign exchange rate, I mean -- so this is the other element that is sitting there, and we have taken a prudent view on how it all adds up, and we therefore guide towards the minus 5% on the topline.
Miguel Borrega: And then just on depreciation. So you've had almost €600 million this year, broadly flat versus 2021. And then if you look at CapEx, that has gone from €560 to €1 billion. So capitalization rates have been quite high recently. How should we think about the step-up in depreciation and the impact to the margins, please?
Anna Tanganelli: So yes, you're right. So the capitalized R&D has gone up. We are now approximately at a 50% capitalization ratio. And this is mostly linked to the fact that over the past year, but not just, I think, 12 months, maybe 18 months, we have been working on a larger number of development initiatives, as we said, which are also linked to the increase in CapEx as we prepare for the electrification of all our lineup. And so that has driven our capitalization ratio. I would expect that ratio to remain flat, I would say, in the next years, so broadly around that 50% range.
Miguel Borrega: Right. So then how do you stack that up with CapEx over the next few years? I think at the IPO, you said €4.1 billion. What does that mean? You already guided for €1 billion in '24. What does that mean for '25 and '26? Will CapEx come down substantially from here?
Anna Tanganelli: No, not down, definitely not down. But I can spoiler the number because we will give you, let's say, a sense of the cumulated investment spend over our business time period, obviously, at mid-March, in mid-March, at our Capital Markets Day, but definitely not going down. So the number you have in mind right now, which is just mentioned, is probably going to be slightly higher than what you just said. So this €1 billion number, you can assume it to remain flat in the next years.
Gerrit Marx: Yes. And let me build on that a bit. The way how we've built these numbers and also, as Anna mentioned, for the near-term years there, the €1 billion, €1 billion plus, those assume that in the very relevant segments of our business, we do everything ourselves, okay, which is in several partnership discussions, clearly not the intent. So what we have done here is we are building a plan as if there was no further partnership, collaboration or sharing of investments. And our partnerships we continue to work on, and we plan to also have a few of those coming up before or shortly after the Capital Markets Day, will impact that number in the opposite direction.
Miguel Borrega: And so just one last question on free cash flow. How should we think about working capital in 2024? Is it the case where you've been investing a little bit extra on inventories to smooth out production, and we can see a little bit of working capital release? Or does the new model year, the introduction of the new model year, basically means different kinds of investments, so you'll see a bit of restocking instead?
Anna Tanganelli: No, I think -- so in the guidance we've built, I would say, an optimized at the same time prudent evolution of working capital. So from a stock perspective, actually, we see a destocking happening year-over-year. At the same time, please note that, especially for bus, some orders will be coming towards the second half of the year. So that will partially offset, let's say, the positive inventory evolution on the truck side. So that's why I'm saying overall, let's say working capital, the working capital positive contribution will remain stable year- over-year.
Gerrit Marx: Yes. And just chipping in a word here, I mean, as we cut over in 2024 now, between the model year 2022 and 2024, particularly in the first, second, and even also to some extent third quarter, we are having like, let's say, the old and the new in inventory stock pipeline and this and that. So that means there is some impact in the next coming quarters, certainly, on the cutover between the old and the new, which is, again, totally normal. And this will level out and normalize as per Anna's guidance towards the end of the year.
Federico Donati: Thank you, everyone, for having participated today at the call, and have a nice day. Thank you.
Gerrit Marx: Thank you.
Anna Tanganelli: Bye-bye.